Operator: Good day, everyone, and thank you all for joining us to discuss Equity LifeStyle Properties First Quarter 2021 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the Federal Securities laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events.
Marguerite Nader: Good morning and thank you for joining us today. I'm pleased to report the results for the first quarter of 2021. Our performance shows the increased demand for our properties. We continued our record of strong core operations and FFO growth, with an 8.1% growth in normalized FFO per share in the quarter. New customer growth in both our RV and MH business contributed to the positive results in the quarter. Our new home sales grew by 24%, contributing to the high quality of occupancy at our MH communities. We ended the quarter with core portfolio occupancy of 95.4%. Home sale leads from websites increased by 37% in the quarter. Within our RV platform, we were successful in offsetting some of the loss in seasonal business with significant growth in transient business for the quarter. We ended the quarter with a 15% increase in transient revenue. Our subscription-based Thousand Trails Camping Pass showed strength this quarter. Over 5,000 new members purchased the Camp Pass, which was an increase of 64% over the first quarter of 2020. In the quarter, we saw an increased demand for upgrades in the Thousand Trails system. Our members were looking for expanded access to our portfolio and we saw an increase of $5 million in sales. We now have 117,000 members with access to the Thousand Trails footprint. We're approaching our Summer RV season and are encouraged by the reservation pace and the feedback we have received from our customers. We recently completed a customer survey and the results support our view that our customers are looking forward to spending time outdoors and at our properties. The survey results show that 98% of respondents who were new to camping last year plan to camp again this year. The respondents indicated that they chose to camp because it felt like a safe choice and they were able to safely travel with their family and friends. The survey indicates a plan for increased camping adventures with 65% of those responding indicating an intention to camp more this year. The survey also showed that 70% of those responding do not plan to travel by plane this year.
Paul Seavey: Thank you, Marguerite, and good morning everyone. I'll provide an overview of our first quarter results and walk through our guidance for second quarter and full-year 2021. I'll also discuss our balance sheet before the operator opens the call for Q&A. For the first quarter, we reported $0.64 normalized FFO per share. The outperformance to guidance in the quarter resulted from better than expected transient performance, membership upgrades, and expense savings. In addition, our guidance did not assume the net contribution from our Southern Marinas portfolio acquisition. Core MH rent growth of 4.7% includes 4.1% rate growth and approximately 60 basis points related to occupancy gains. Core RV and Marina rental income from Annuals was in line with expectations for the quarter. Annual RV rental income represents 90% of the combined RV and Marina rental income from Annuals, and it increased 3.5% with 3.4% from rate.
Operator: Thank you. . Our first question comes from John Kim with BMO Capital Markets. Your line is now open.
John Kim: Thank you. Couple of questions on your guidance. So in the second quarter, you're projecting an $8.8 million increase in transient RV, which would put it above 2019 levels. But I was wondering how much clarity you have on that at this moment. I know you've talked about the reservation pace, but your first quarter numbers came in well above your initial projections, but I just wanted to see how confident you were in the second quarter projections?
Paul Seavey: Yes. I think John, as we think about our guidance, the second quarter increase, that $8.8 million over 2020, that's about 14% over 2019. We've taken a look at our reservation pace, and we've taken a look at the activity in 2019 as an indicator of a normalized environment because it is quite challenging frankly to look at 2020, but we definitely recognize that over time pace can change. So, we've given our current estimate and anticipate that that may change, but it's our best view into the second quarter at this time.
John Kim: And what are you expecting as far as the growth in the Thousand Trails. You had strong demand this quarter with membership upgrades. Do you see that pace is continuing in the second quarter and for the remainder of the year?
Marguerite Nader: I think that if you look at our history over the last 10 years, you see that our upgrade revenue line tends to increase in periods when we introduce a new product, and we introduced a new product this quarter. And the biggest uptick is really in 60 to 90 days after that product launch, and then it tends to fall in line with more of a historical run rate performance.
John Kim: And can you remind us, Marguerite, once you upgrade the membership, is the goal to keep them at that level or is the goal to convert them to a seasonal RV customer?
Marguerite Nader: Sure. So just a little bit of history on the Thousand Trails upgrade, that really -- it offers a number of options. We offer a number of options to own an upgraded membership. It's really designed for the RV’ier who plans to camp and travel in multiple locations over an extended period of time, or really those who just want the flexibility to go to a single destination with fewer used restrictions. So, they're looking for longer stays, advanced booking windows, and the ability to kind of go resort to resort. And so, I think that as we see some of those members becoming Annuals and some of them just wanting to continue to upgrade and some of them are multiple upgraders, they continue to upgrade as the new products come on board.
John Kim: Okay. And then my final question is on the Marina acquisition. And basically, what is your appetite to do more, right now it's about 4% of your total sites, what is your expectations to acquire more and also what are the opportunities?
Marguerite Nader: Sure. So -- so we -- since our last call, we did purchase a portfolio of Marina for about $260 million. That was a deal that we've been looking at over the last -- over the end of last year, and it fit really nicely into our acquisition strategy. The portfolio lines up very well with our existing Marina portfolio with about 4,100 flips, 95% fee simple and 96% of the revenue is derived from annual sources. And as we look at it and I think we included it in our presentation at the time that we did the deal to talk about what we look at, look what we look like on a post-acquisition basis of about 4% Marinas, and I would see that continuing to be the case where we'll grow in the MH space, the RV space, and the Marina space.
John Kim: And what was the cap rate on this portfolio?
Marguerite Nader: This deal was a 5.5 cap.
John Kim: Okay. Thank you.
Marguerite Nader: Thanks, John.
Operator: Thank you. Our next question comes from Nick Joseph with Citi. Your line is now open.
Nick Joseph: The transaction pipeline and acquisition pipeline looks like today, and then how does it compare across the three different verticals?
Marguerite Nader: Sure. So the deal flow is really -- it's in line with what we've seen in the immediate past. I think over the last five years, we've closed about a billion dollars of transactions and really focused on creating that long-term value. I think the strong relationships we have in the industry that will just continue to benefit from and closing on the transactions. But, as our -- and we've talked about this, Nick in the past, is our asset class continues to be sought after in our performance during the pandemic, and in the first quarter, I think it only heightens the desire by others to become owners of these assets. That being said, most deals are really well marketed, and the acquisition team does a very good job of underwriting assets and assessing the strategic fit for ELS. So, I think there is -- there are opportunities out there, and we'll continue to update as we close deals.
Nick Joseph: Is it weighted towards any of the different verticals or are you seeing opportunities across all three?
Marguerite Nader: We're seeing opportunities across all three.
Nick Joseph: Thanks. And then just you mentioned the technology enhancements, how does that impact long-term expenses from a property level perspective, and does it change margins at all?
Paul Seavey: I think what we anticipate over the long term Nick, is that there will be some shift and potential for reduction in those expenses. As we talk about the initiatives like contactless check-in, the self-serve options for the customers, I think that frees up resources that would otherwise be dedicated to those efforts. But in the near-term, there's a transition back to normalized operations that we're working through, but I definitely think over the long-term, we would see that.
Nick Joseph: Thank you.
Marguerite Nader: Thanks Nick.
Operator: Thank you. Our next question comes from Keegan Carl with Berenberg. Your line is now open.
Marguerite Nader: Hello, Keegan. Keegan, do you have a question? Operator, maybe we could move to the next one. And then we could circle back with Keegan.
Operator: Absolutely. Our next question comes from Wes Golladay with Baird. Your line is now open.
Wes Golladay: Hi, good morning, everyone. I just wanted to go back to the upgrade product, it sounds like you said the price increased 10%. Was that due to the new introduction of the product you mentioned, Marguerite?
Marguerite Nader: Yes, it was. So we upgraded the product. The upgrade product is a new product called Adventure. And there were some additional benefits in it. And we were able to increase the price as a result.
Wes Golladay: Got you. And then, I think on the last call, you kind of mentioned that deals tend to close in the fourth quarter and I was a little bit surprised about the first quarter deal, I guess, would you still hold that same comment for the remaining pipeline that weighted towards the fourth quarter?
Marguerite Nader: Yes, I mean I think that that's what we have seen historically is what I think how I addressed it in the call last time. And, there was an opportunity to close some deal -- close the deal that we did in -- the two deals transaction that we did in the first quarter. So there it's lumpy over time, you can see it's lumpy as to the quarters, but it ends up. Like I said, over the course of five years, I think we were at roughly 225,000 -- 225 million a year.
Wes Golladay: Got it. And then maybe a one last one, are you seeing any inflationary pressure in the business and probably more specifically on the home sale?
Patrick Waite: Yes, sure this is Patrick. Let me take our home sales prices first, and then I'll speak to cost. We saw an increase in our new home sale prices for the quarter of 20% year-over-year, and some of that is just mix and that will continue to contribute to quarter-over-quarter yield differences and some of that's based on some higher priced homes. But broadly, we saw strength in Florida where home prices were up more than 10%. And we're consistently seeing 5% to 6% increases in new home sale prices in our primary sales locations across the portfolio. With respect to your pricing pressures, lumber is up 2.5 times year-over-year, steel is up 1.5 times year-over-year, crude oil 1.7 times that's the base for PVC pipe and other pieces. The U.S. Chamber of Commerce Construction Index really points to price fluctuations, and supply shortages in lumber, steel, PVC and copper. That's due to a couple issues. One we know about increasing demand, that's broad across the residential space. But we're starting to see supply chain issues materialize. And another one, just recently, was that major winter storm in Texas disrupted petroleum processing. So we're seeing good demand for new home sales. We're seeing price increases come through on our new home sale prices. But there's also going to be some price impacts on the cost of homes as well as potentially timing for delivery.
Marguerite Nader: The demand is very high, but it is taking us longer to get the homes to the locations but the demand is very high.
Wes Golladay: Great. That's all for me. Thank you.
Marguerite Nader: Thank you.
Operator: Thank you. And our next question comes from Keegan Carl with Berenberg. Your line is now open.
Keegan Carl: Everyone hear me now?
Marguerite Nader: We got you now, Keegan. Hello.
Keegan Carl: Sorry about that.
Marguerite Nader: No problem.
Keegan Carl: So with the explosion of our RV sales and RV ownership how have your online metrics specifically trended? And I guess what conversion rates do you guys anticipate from the memberships just into the annual passes?
Marguerite Nader: Yes. So we've seen a significant increase on the Camping Pass sales over time. So the vast majority of the increases from our, the Camp Pass sales for the quarter, I think they went from 5,000 compared to 3,000 last year, a 64% increase, and the vast majority of that comes from online channels. So we went from many years ago, where we were all face-to-face sales to now a significant portion of our Camp Pass sales are done online. And it's a very seamless process. Something it's a subscription-based model. So people are become very familiar with that concept over time. And we've seen people continue to want to push that that through and we'll continue to push other opportunities through the online channel.
Keegan Carl: To follow-up on that, are you seeing your average age of a resident trending down? I know in the March presentation, you said the average age of a new resident in the RV space is 55. But your RVIA was putting out a report showing that the 18 to 34 age cohort is actually picking up in ownership?
Patrick Waite: Yes, it's Patrick. I'm familiar with the study. And I would anticipate over time that we may see additional lower age new customers coming into this space as Marguerite and Paul have pointed out in different parts of their comments. There's significant demand across the portfolio. One thing we're seeing that contributed to results in Q1 and also what we're seeing in Q2 on the transient side is reservations being booked much earlier in the corresponding months than we've seen in the past. So there's a real desire for people to get out in a socially distanced COVID safe manner, and spend time with family and friends that is bringing with it people with first time users and first time exposure to the RV space. So, we may anticipate to see some younger, new customers come into the space in coming quarters. We haven't seen that come through our average age at this point. But it's a reasonable expectation.
Marguerite Nader: And it would take a lot for the average age to change. So it'll take time for that to change within our forecast.
Keegan Carl: And then, just one final one for me, do obviously, leverage is now at 5, 5.7 times highest you've been in quite a bit. Is there an expectation, this is going to come down back to this five times range or you guys actually more comfortable with some higher leverage, given how you performed during the pandemic?
Paul Seavey: I think it's done  -- I think we've long talked about the strength of our balance sheets. And I think we're perfectly comfortable with a higher leverage of level -- higher level of leverage, when we don't have a target that we're aiming to meet.
Keegan Carl: Right, that's it for me. Thanks, everyone.
Paul Seavey: Thanks Keegan.
Marguerite Nader: Thank you, Keegan.
Operator: Thank you. Our next question comes from Joshua Dennerlein with Bank of America. Your line is now open.
Joshua Dennerlein: Hey, Marguerite, hey Paul. How are you?
Marguerite Nader: Good mining, Josh.
Paul Seavey: Yes, we're doing well.
Joshua Dennerlein: On the Thousand Trails product update, was that kind of something you had planned that had been in the planning for a while? Or was this an opportunity you saw because of COVID to offer something new or unique on that side?
Marguerite Nader: Yes. So we do rollout a new program every few years. But really, last fall as we continued -- we saw continued travel restrictions and weakness in our seasonal revenue stream, we built the product and focused on the demand we were seeing from our current customer base, of course, we had issues with the Canadian customer base, there was -- the demand was there, they just couldn't access. So we just saw people, we just saw people seeing ways to have limited access to more properties, advanced booking windows, as I mentioned and so we were able to rollout that program in anticipation of that, what we saw with some weaker issues on the Canadian border front and seasonal front.
Joshua Dennerlein: Okay. All right. And then do you expect to see additional strengthen in the upgrades in 2Q and then you kind of build them?
Marguerite Nader: Yes, I mean I think that what you see is, there's an uptick that I mentioned in the first as soon as the new product goes out and then I think it goes -- tends to fall more in line with our historical run rate.
Joshua Dennerlein: Okay, okay. And then on the transient revenues, they seem to come in much better than expected for 1Q offsetting some of the weakness, you're expecting in the seasonal side, how does that trend across the quarter and has that kind of trend continued into like the early days of 2Q?
Marguerite Nader: I mean, what we really saw in the quarter was that March was the highlight of the quarter, you saw really strong demand when as the weather got really bad towards the end of February, up north, and then we just saw more activity at our properties in March, and it is continuing into April.
Joshua Dennerlein: Okay, awesome. Was it more weather driven or maybe COVID cases coming down?
Marguerite Nader: Yes, I think it was a little bit of it -- it was certainly a little bit of both. But they've happened to coincide as the availability of the vaccine and then you had strong demand and so that that helps. And then you saw that the weather was really difficult. And we saw strong demand in our Keys property at that time.
Joshua Dennerlein: Okay, awesome. Appreciate the color.
Marguerite Nader: Thanks, Josh.
Operator: Thank you. Our next question comes from John Pawlowski with Green Street. Your line is now open.
John Pawlowski: Thanks for the time. Maybe just a follow-up question on the transaction market. When you're looking at pricing, in terms of private market pricing, and MH in different types of RV product, is pricing getting to a point where borderline irrational where you'd start to maybe sell assets and buy back stock?
Marguerite Nader: Yes, I mean I think that there's certainly some deals that are trading that that we've walked away from because we don't think the pricing makes sense. But I do think there are still a lot of opportunities out there for us to invest in accretive deals that would make sense for us in the long-term. So I'd say we would continue to pursue those deals.
John Pawlowski: I guess, maybe a follow-up direct question, is your share price screening more attractive than kind of a bigger and bigger swaps of the private market across MH and RV right now?
Marguerite Nader: Yes, I mean, I think that the best use of our capital right now is to continue to invest, invest in our properties, invest in development, and invest in future acquisitions.
John Pawlowski: Okay. And then just one follow-up question on Paul, your opening remarks about 1Q is better than expected, but the balance of this year is trending in line with prior expectations. Is it the fair interpretation that if the positive trends on the transient and membership businesses continue there's going to be additional upside coming this next few quarters?
Paul Seavey: It's not an unreasonable statement to make.
John Pawlowski: Okay. Thank you for the time.
Paul Seavey: Thanks, John
Marguerite Nader: Thanks, John.
Operator: Thank you. . Our next question comes from Todd Stender with Wells Fargo. Your line is now open.
Todd Stender: Good morning. Not sure if I missed this, was the Marina deal a widely marketed deal and any discussion about using OP units or any other tax advantageous currency?
Marguerite Nader: Sure. The Marina deal was a deal that we'd been working on like I said towards the end of last year, widely marketed I would say maybe not so widely marketed was certainly, it was certainly discussed with other, there were other people that were interested. And as far as OP units, that was not something that the sellers were interested in. So it was not a discussion point.
Todd Stender: Okay, just cash. Okay.
Marguerite Nader: Yes.
Todd Stender: And can you share your annual growth rate assumptions in the underwriting and maybe how that compares to how you're underwriting MH and RV right now?
Patrick Waite: Let me -- this is Patrick. Let me cover the RV business broadly. Southern line is up as Marguerite mentioned very similarly to our Loggerhead portfolio, and our experience on Loggerhead, it's really stable annual occupancy. The 90% of the overall revenue comes from our slip income. And as Paul referenced, high 90% of that comes from our annual customer base. We see 3% to 4% type rate growth on top-line with some periodic upside with occupancy and some rate opportunity. And that's really translating to NOI growth in the range of 4%, subject to some of the same expense pressures that we're seeing in other property types like insurance and real estate taxes. Overall the two portfolios are very similar heavily weighted Coastal, and in particular, Florida.
Todd Stender: It's helpful, Patrick. Any CapEx, any comments on deferred maintenance just because it's such a new property type? Maybe just comment on what's required maybe going into it?
Patrick Waite: Yes, I wouldn't say that it's a deferred maintenance issue as we work our way through due diligence. But from a run rate perspective, the capital load is more similar to RV than MH and call it to somewhere in the neighborhood of 5% to 7% of gross revenue on a roll forward basis, that will ebb and flow depending on particular improvements across the portfolio.
Todd Stender: Okay. Probably just last question, Patrick, just to stick with you back to home sales, can you maybe just characterize the buying behavior, I know you spoke to the demand is so high, but because your new home sales continue to outpace used home sales. Are buyers paying in all cash? Are they as liquid as we think they are?
Patrick Waite: Yes. And in the same trend, as it has been historically for us to call it 90%, 95% are cash buyers. And just part of the point I'll make on the used home, we've reduced our used home inventory from a rental perspective, pretty consistently over the last five to six years. It's down 20% year-over-year. So some of that is just going to be a driver on the used homes that are actually available for sale. Another part of it is just to reduce mobility at a time of COVID. But that's been normalizing over the last quarter or two.
Todd Stender: Got it. Thank you.
Marguerite Nader: Thanks, Todd.
Paul Seavey: Thanks, Todd.
Operator: Thank you. Since we have no more questions on the line, at this time, I'd like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you all for joining us today. We look forward to updating you on the next quarter's call. Take care.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.